Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Cipher Pharmaceuticals Fourth Quarter and Full Year 2022 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, March 17, 2023. On behalf of the speakers that follow, listeners are cautioned that today’s presentation and the responses to questions may contain forward-looking statements within the meaning of the Safe Harbor provisions of the Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that could cause results to vary, please refer to the risks identified in the company’s annual information form and other filings with Canadian regulatory authorities. Except as required by Canadian securities laws, the company does not undertake to update any forward-looking statements. Such statements speak only as of the date made. I would now like to turn the call over to Mr. Craig Mull, Interim Chief Executive Officer of the company. Please go ahead, Mr. Mull.
Craig Mull: Good morning, everyone and thank you for joining the call. Today, I will begin by providing an overview of our business and strategy, then dive into the financial updates of our product portfolio, which continue to generate strong returns and cash flows. Lastly, I will discuss our pipeline and future growth plans before turning it over to Bryan for insights into our financial performance. In recent years, Cipher has invested significant effort in laying the foundation necessary to position it soundly in the capital markets today and also for a future transition to a growth-orientated strategy. During 2022, we have invested in and transformed our business, cash flows and balance sheet. Relative to our peers in specialty pharma, we believe we are uniquely positioned for the road ahead. Cipher’s diversified licensing and product portfolio demonstrate its cash-generating ability with EBITDA margins of 58%. Strong earnings and cash-generating ability allowed us to end the year with an enviable financial position with $28.8 million in cash on hand and no debt and those are U.S. figures. Unlike our peers in the specialty pharma business, we are presently benefiting from the current interest rate environment and generated a $0.5 million in incremental cash flows from interest income during 2022. In addition to this cash, subsequent to year-end, we secured a non-dilutive credit facility with the Royal Bank of Canada, which provides us with up to US$35 million of additional funding to support our future M&A strategy and opportunistically capitalize on favorable market conditions, which we expect will accelerate growth and drive shareholder value. In 2022 and prior years, our business transformation has included the successful renegotiation and extension of key distribution and supply agreements, the launch of co-promotion initiatives on key products, restructuring the business to operate in a cost efficient manner and strengthening our management team. Having completed these foundational changes, we look forward to reigniting our growth engine and focusing on potential profitable product and company acquisitions. I would now like to briefly touch on a key – a few key products in our development pipeline, CF-101. In September 2022, our partner, Can-Fite BioPharma, announced its Phase 3 COMFORT study for Piclidenoson, which is used in the treatment of moderate to severe psoriasis met its primary endpoint of superiority to placebo and achieved a better tolerability profile in a comparative analysis with apremilast. In January of 2023, Can-Fite submitted its market registration plan to European Medicines Agency stating that a submission to the FDA would follow. We are pleased to see Can-Fite’s positive results and are excited about the commercial potential of the product. An estimated 1 million Canadians suffer from psoriasis and Cipher holds the Canadian marketing rights to the novel product, which we expect possesses substantial commercial potential. Can-Fite’s submission to European Medicines Agency represents an important step forward towards the pivotal Phase 3 study and subsequent marketing approval of Piclidenoson. Next, MOB-015. In May 2022, the company’s partner, Moberg Pharma, began patient enrollment for the North American Phase 3 study of MOB-015 to treat nail fungus. The North American study with MOB-015 is progressing as planned. There are now 30 different clinics in the U.S. and Canada, which are treating patients in the study. The randomized, vehicle-controlled, multi-center Phase 3 study will enroll a total of 350 patients with nail fungus. The patients are being evaluated over 52 weeks and the primary endpoint will be the proportion of the subjects achieving complete cure of their target now. The study design builds on the experience gained from the previous Phase 3 studies and Moberg Pharma is cooperating with the same CRO and the same lead investigator and high – and the same high-performance clinics from previous North American study. The purpose of the study is to facilitate market approval for the U.S. Food and Drug Administration and to enhance commercial claims in other territories. Cipher holds the exclusive Canadian rights to MOB-015. In Canada, according to IQVIA, the total prescription market for onychomycosis was CAD86 million with a single product having over 90% of the market. We are pleased to see the continued progress from Moberg that Moberg is making to commercialize MOB-015. We look forward to competing in the large market with an innovative topical product that would provide a safe and effective treatment option for the many Canadians who suffer from the common nail infection. Lastly, DTR-001. Preclinical work continues on the tattoo removal cream, DTR-001. We have made good progress in optimizing our formulation for clinical use and look forward to conducting key studies in the near future. We believe DTR-001 holds significant market potential and we look forward to providing future updates as we achieve these key milestones. As we enter 2023, Cipher’s primary focus remains on effectively allocating our capital in order to maximize value for our shareholders. This involves a continued emphasis on investing in our commercial products to drive organic growth, assessing opportunities for profitable product and company acquisitions, advancing our product development pipeline and executing on our normal course issuer bid. With these levers at our disposal, we are confident in our ability to accelerate growth and drive shareholder value. I will now turn the call over to Bryan for a review of our financial results.
Bryan Jacobs: Thank you, Craig and good morning everyone. First, I will provide highlights on results from our fourth quarter and the 3-month period ended December 31, 2022 and then turn my comments to highlights from our 2022 annual results. Total net revenue was $4.9 million in the fourth quarter of 2022 compared to $5.9 million in the comparative fourth quarter of 2021. Licensing revenue was $2 million for the fourth quarter compared to $2.8 million in the prior year quarter. Licensing revenue from the Absorica product portfolio in the U.S. was $1.3 million compared to $1.6 million in the prior fourth quarter. Revenue from the Absorica portfolio was higher by $0.1 million sequentially when compared to Q3 of 2022 and has been relatively stable throughout our recent 2022 quarters. Revenue from Lipofen and the authorized generic of Lipofen was $0.7 million for the quarter compared to $1.1 million in the comparative quarter. Total product revenue was $2.9 million compared to $3.1 million for the comparative period of 2021. The decline of $0.2 million was primarily due to foreign exchange as our product portfolio is denominated in Canadian dollars. On a constant currency basis, total product revenues were flat quarter-over-quarter. Sales from Epirus in the fourth quarter of 2022 was $2.6 million compared to $2.9 million in the prior year quarter. Approximately one-half of the $0.3 million decline was due to higher foreign exchange rates from the U.S. dollar relative to the Canadian dollar. Selling, general and administrative expenses were $1.4 million for the fourth quarter compared to $1 million for the 3 months ended December 31, 2021. Excluding higher non-cash amortization and stock-based compensation expense of $0.4 million, then SG&A was flat quarter-over-quarter at $1 million. Adjusted EBITDA for the fourth quarter was $3.1 million compared to $4.1 million in the prior year quarter. The decline is primarily due to quarterly licensing revenue of $0.8 million, resulting from lower negotiated royalty rates in early ‘22 with our commercial partner in the U.S. who distributes and sells our Absorica product portfolio. Now I will turn my comments to our annual year-over-year results. Total net revenue for the year ended December 31, 2022, was $20.7 million compared to $21.9 million for the year ended December 31, 2021. The change year-over-year was due to a decrease in licensing revenue of $2.3 million or a 22% – and that was offset by 22% growth in higher product revenue of $1 million. Licensing revenue for the year was $8.1 million compared to $10.4 million in the prior year. Licensing revenue from the Absorica portfolio in the U.S. was $5.2 million for the year ended December 31, 2022, a decrease of $2.4 million compared to $7.6 million for the year ended December 31, 2021. The change year-over-year was due to the genericization of Absorica in April of 2021 and lower contractual royalty rates I previously described. Absorica and the authorized generic of Absorica and Absorica LD market share for the year ended December 31, 2022, was 5.9% compared to approximately 5.4% in the prior year. Product revenue increased by $1 million or 9% to $12.5 million for the year ended December 31, 2022, compared with $11.5 million for the year ended December 31, 2021. Product revenue from Epirus grew to $11.3 million, an increase of 4% for the year ended December 31, 2022, compared with $10.9 million in the comparative year. Product revenue from all other Canadian portfolio products was $1.2 million for the year ended December 31, 2022, compared with $0.6 million in the prior year, representing a 100% increase. Selling, general and administrative expenses were $5.5 million in the year compared to $5.1 million in the previous year. Excluding higher year-over-year non-cash amortization and stock-based compensation expense of $0.5 million, then SG&A costs were lower year-over-year by $0.1 million. We believe this is an area of strength of the business and resilience as high inflationary cost environment has made it challenging for many businesses to control their fixed costs. Income tax recovery was $15.2 million for the year ended December 31, 2022, compared to an income tax expense of $3.3 million in the prior year. The increase of total tax recovery of $18.5 million was primarily due to the recognition of previously unrecognized deferred tax assets. At the end of the year, the company recognized a deferred tax asset of approximately $16.7 million. The company believes that it’s probable that future tax income will be available to which these tax losses can be utilized. Adjusted EBITDA for the year was $12.4 million compared to $13.9 million in the previous year. The decline is primarily due to the declines in licensing revenue I previously described related to the Absorica portfolio. However, our EBITDA and adjusted EBITDA margins were 58% and 60%, respectively, which we believe continue to be strong metrics relative to our peers in the industry and demonstrate the earnings potential of the business. Net income for the year ended December 31, 2022, was $26.6 million or $1.05 per common share compared to net income of $7.8 million or $0.29 per common share in the prior year. The increase is primarily due to the recognition of deferred tax assets I previously described. At the end of the year, Cipher ended with $28.8 million in cash and no debt. Cipher generated $10.6 million in cash from operating activities and had a total net increase in cash balances of $8.3 million in the year. In addition to our commercial portfolio, which continues to generate positive cash flow, we have assembled an attractive organic development portfolio. And we will continue to move these products through commercialization. I’m also proud to highlight our recent closing of our $35 million credit facility with RBC, which will be at our disposal and greatly expands our reach for future M&A activities. With both our cash on hand and available credit facilities, this places Cipher in a unique and opportunistic position to act quickly on future growth activities. I’ll now open up the call to questions. Operator?
Operator: Thank you, sir. [Operator Instructions] Your first question will come from Doug Loe at Leede Jones Gable. Please go ahead.
Doug Loe: Yes. Thank you and good morning, gentlemen. Thanks for the update on the Q4 results. Congratulations. Just one point of clarification, in your Q3 MD&A, you indicated that Absorica market share was 4.7%, I think. I’m staring at it right now. And in the Q4 MD&A, you say it’s 1.5%. I assume that last quarter you’re referring to the once daily Absorica or isotretinoin market. In this quarter, you’re referring to the overall isotretinoin market. Can you just confirm that for me?
Bryan Jacobs: Yes, that’s confirmed.
Doug Loe: Okay. Perfect. Which – so the part B of the question is 1.5% of the overall market based on the highly positive bioavailability that is relevant to all of the once dailies, but specifically to Absorica still seems awfully low to me. And so I was just wondering if – I’ve asked this question many times in prior calls, but just wondering what sort of insights you might have had either discussing with Sun or internally, what sort of strategies you might have in order to lift your market share above what are pretty – the threshold at bottom levels for the product.
Craig Mull: Doug, it’s Craig here. We are in discussions with Sun at the moment about their distribution channels. We also believe that market share is low, given the quality of the product. And we are working with them to expand the various distribution channels that they could be using. And we also think that there is work to be done at the wholesale level and making sure that our product is in the right places at the right prices. So, this is ongoing with Sun.
Doug Loe: Got it. Okay. Fair enough. A couple of other things. I appreciate you went into some detail on your alliances with Can-Fite and Moberg, which seem to be advancing quite well, specifically on Piclidenoson’s EU filing a couple of months ago. Could you just provide me with an update on what the cash obligations from Cipher to your partners would be based on any imminent clinical or regulatory milestones? I mean presumably on EU approval, there might be some de-risking of your future Canadian filings that might trigger a payment, but maybe not. So, maybe just kind of summarize over the next 24 months to 36 months, what’s your cash obligations to partners would be?
Craig Mull: Well, let’s start with the MOB-015, the nail fungus product. Yes, we have milestone payments that are scheduled for the future based on reaching certain milestones, the next milestone being that they – that the results of the trial show results that are superior to the main product on the market. And that’s the first milestone – the next milestone. There is then future milestones based on net revenue figures. But we see those as all positive. If we were able to get a product that performs better than Jublia, we are happy to pay up the milestones.
Doug Loe: Right. I just wanted – are you able to quantify that to some degree? Like cumulatively, are they in the high six-figure, low seven-figure range or at another level?
Bryan Jacobs: So, we disclose these figures, Doug, point you to in our financial statements, Note 17 under the development milestones indicate amounts for both Moberg and for Can-Fite.
Doug Loe: Okay. Perfect. And then lastly, as one way to augment your pipeline, you have talked in the past about perhaps expanding your relationship with Galephar perhaps to use their Lidose platform to improve bioavailability of other hydrophobic drugs that may or may not be off that? And just kind of wondering if there is any update there on whether that could be one avenue that you could be pursuing on augmenting your pipeline? And I will leave it there. Thanks.
Craig Mull: Yes. Thanks for the question, Doug. Yes, we are working with Galephar on a number of potential products, none of which I think that we would want to go into a lot of detail with at the moment. But they have been our development partner for a long time, and we have weekly calls with them with regards to the products under development. So, there is potential there.
Doug Loe: Okay. Fair enough. Thanks, guys.
Operator: Your next question comes from Andre Uddin at Reuters Capital. Please go ahead.
Unidentified Analyst: Hi Craig and Bryan, just had a couple of questions here for you. When would you expect to actually get the Phase 3 data on MOB-015? When should we expect that data?
Craig Mull: I would – we expect it within the next nine months. I think that I mentioned in my speech for the – earlier that the enrollment for the study of 350 patients is complete, and investigators now are going through the protocols. So, based on what we have heard from Moberg, we will see data in nine months from now.
Unidentified Analyst: Okay. And let’s assume that data is positive. When do you think the NDS would be filed in Canada then?
Craig Mull: Well, it would be filed immediately. And I think that it would take six – there is a six-month period of time that the – that Health Canada has to review the file.
Unidentified Analyst: Okay. Great. And if we are looking also at the Can-Fite psoriasis product, when do you think the NDS would be filed in Canada?
Craig Mull: Again, the Can-Fite has to move through the – and complete the study that they are in. I would say that that’s more like 12 months out as opposed to the nine months for MOB-015.
Unidentified Analyst: If you look at right now in the pharmaceutical market in the U.S. right now, there is quite a few companies have been raising drug prices roughly around 7% trying to match inflation. Do you think you can do that with any of your U.S. product portfolio possible?
Craig Mull: It’s possible. I think you have probably seen some pushback by the FDA on some of these increases that on the – in the 7% range. I think some of those are under review at the moment. For our product portfolio in the U.S., I think that we are going to be able to achieve price increases in the range of 4% to 6%.
Unidentified Analyst: And do you think if you look at it, I know you haven’t given guidance historically, but if you look on a year-over-year basis going from 2022 to 2023, do you think there could be some growth year-over-year on the top line?
Craig Mull: Well, on our product portfolio, which are primarily our Canadian assets, we are budgeting growth on most, if not all of the products. Through – in the U.S., the Absorica genericization will have meant that the things have slowed, the growth obviously has slowed in that area. And I think from the other product – U.S. products that we are going to achieve price increases, and we are going to see growth on the top line with those products.
Bryan Jacobs: And to add on to what Craig was saying, Andre, is I think it will be important that we focused in on foreign exchange year-over-year for the fourth quarter because that’s primarily when it hit. But when we convert – where we may have growth in the Canadian product portfolio year-over-year, it will be facing a headwind on the FX because I think as you know the U.S. dollar is very strong today relative to where it was at the beginning of last year.
Unidentified Analyst: And that sort of leads me to another questions. You have had a pristine balance sheet so far. Can you discuss some of the contingencies and the interest rates of your new line of credit if you were to tap into it?
Bryan Jacobs: I can’t disclose our actual contractual rates, but they are fixed fee or fixed to SOFR in the U.S., and CDOR loans for Canada should we have a Canadian dollar loan. And the spread of them does range based on the leverage, and it’s in the range of 1% to 3%.
Unidentified Analyst: Thanks. And then Doug talked a little bit about this. He was asking about the products with Galephar. Those products that you are developing with them or that you are assessing, are those later-stage products? Are they in Phase 3 pivotal trials, or can you talk a little bit about where they are in development?
Craig Mull: Yes. The products that we are looking at would likely take a 5052B path. So, they are later stage, basically making improvements on existing approved products. And that’s been our strategy from the beginning, and it has been Galephar. So, we are continuing with that. So, I would say that the products are more later stage than early stage Phase 1 type products.
Unidentified Analyst: Okay. That’s great. That’s all for me. Thanks.
Operator: [Operator Instructions] There are no further questions. So, I will turn the conference back to Mr. Craig Mull for any closing remarks.
Craig Mull: Thank you for joining us today. We look forward to reporting on our progress throughout the balance of 2023 as we execute on the priorities discussed today. I hope that you have a great St. Patrick’s Day and a great weekend. Thank you for your time.
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank everyone for participating and ask at this time that you please disconnect your lines.